Operator: Good day and welcome to the Q3 2024 UFP Industries Inc. Earnings conference call and webcast. At this time, all participants are in a listen only mode. After the speaker presentation, there will be a question and answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker, Mr. Dick Gauthier, Vice President of Investor Relations. Please go ahead.
Dick Gauthier: Welcome to the third quarter 2024 conference call for UFP Industries. Hosting the call today are CEO, Matt Missad and CFO, Mike Cole, Matt and Mike will offer prepared remarks and then the call will be open for questions. This conference call is available simultaneously in its entirety to all interested investors and news media through our webcast at ufpi.com. A replay will also be available at that website. Before I turn the call over to Matt Missad, let me remind you that today's press release and presentation include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from the company's expectations and projections. These risks and uncertainties include but are not limited to those factors identified in the press release and in the filings with the Securities and Exchange Commission. I will now turn the call over to Matt Missad.
Matt Missad: Thank you, Dick, and good morning, everyone. I want to thank you for joining us on our third quarter 2024 earnings call. You have seen the financial results and while they would be great by 2019 standards, they aren't today. While the Osmonds say that one bad apple don't spoil the whole bunch this quarter tasted like apple cider vinegar. We were disappointed with the results, but not with the efforts of our team or the outlook for our future. As we discussed at the beginning of the year, we expected interest rate drops in the first six months of 2024, followed by a rebound in the economy in the second half. We indicated in July of ‘24 that the second half would not be as good as we originally hoped, and any interest rate reductions in the last five months of the year would not impact our results in 2024. It now appears the Fed and the government started celebrating Halloween a little early, putting on a costume to mask the slowing economy by lowering the Fed funds rate in September, ramping up government hiring and overstating job creation for US citizens. Unfortunately, the adage holds true even on Halloween. You can put lipstick on a pig, but it is still a pig. Fortunately, unlike many elected officials, our team recognizes pork and is willing to do the unpopular work to get the job done right. We will do what it takes to overcome macroeconomic challenges and position UFPI for a more prosperous future. Recent data signaled a slowing economy in many of our markets, likely through mid-2025. With a very consequential election looming and many consumers struggling with inflation fueled higher costs it will take a course correction to turn the economy around. Getting mortgage rates steadily below 6% would be helpful for housing, but long-term rates are likely to remain higher in the near term. With those factors in mind, we are taking a much more aggressive posture in three areas. First, we're completing and expanding the previously planned facility consolidations to leverage capacity utilization and reduce operating costs. Second, we're exploring strategic alternatives for our businesses, which although EBITDA positive, no longer fit our long-term strategy or our ROI targets. And third, reducing our core SG&A and operating costs, which are unrelated to our strategic growth initiatives. Fully implementing these initiatives would bring us more than $70 million of cost reductions on an annualized basis. These are difficult decisions, which impact our team, but they are necessary to drive long-term value for our company. Our desire is to retain all of our valued customers, keep all of our best teammates, and ensure that UFPI is positioned for success as the economy recovers. When external factors create change, we need to adopt the mantra of philosopher Peter Brady and be able to change from who we are to who we want to be. For UFP, that means a more streamlined, nimble and focused company. While the short-term outlook is not rosy, we remain very optimistic about the future of our company. We have an exceptionally strong balance sheet, an excellent experienced management team, and more than a dozen runways for significant growth. I've said it before, our team has successfully overcome adversity, is closely aligned with shareholders, and has a culture built to not only survive, but to thrive in times like these. As we outlined last quarter, we have several strategic areas to deploy capital. In addition to greenfield growth, this economy may also open opportunities for better valued acquisitions and opportunities to add more new products to our portfolio. We will continue to return capital to shareholders via cash dividends and share repurchases. We are pleased to report that last week the Board declared a cash dividend of $0.33 per share payable on December 16 to shareholders of record December 2. The current near-term outlook may also create beneficial share repurchase opportunities as well. We received authority from the Board in July to repurchase $200 million worth of stock over the next year. If there are opportunities to obtain shares of what we believe is a meaningful discount to the company's value, we are prepared to be more aggressive in repurchases. As with all uses of capital, we are guided by our principle of investing where we can make the highest return. Consistently making our company better by improving ROI, growing EBITDA margin, driving sales growth and creating an environment where our hardworking teammates can be successful and grow with us are keys to our success. We also believe the combination of these factors will create the best shareholder value. A quick review of the segments is as follows. Construction. For the quarter, construction overall was roughly in line with our expectation. Site build eased yet remained resilient. Multifamily has been softer, and single-family has been holding steady. The most recent trend has single-family slowing as well. We are confident in our ability to earn solid returns when housing starts are above $1.2 million per year. Based on recent estimates from forecasters, starts in 2025 are still expected to be at or above that level. We believe site build housing could receive a boost if mortgage rates drop to the mid-5% range. Given the current fiscal environment, we don't see a clear path to that rate level until at least 2025. On the cost side, we will see facility consolidations where we have excess capacity. However, we will continue to add capacity in new geographies, which are experiencing population growth. Factory built continued, its strong showing. Affordable housing is crucial in today's challenged housing environment and factory built is the best option for inexpensive housing and also while it's not a material part of our business today, the RV market remains challenged and is expected to continue being soft. The company is introducing new products, including the recently launched light lid, which creates more natural light in cargo trailers and RVs. Packaging continues to face demand headwinds when demand is softer we pursue opportunities for market share gains, which may come at a short-term cost. We also need to protect customer relationships that are critical to our mutual long-term success. Soft demand may also create a competitive landscape where some operators can't afford to compete, which could provide future acquisition opportunities. On the cost and efficiency side, the packaging group will see the most facility consolidations to leverage capacity utilizations and enhance overall profitability. This will also promote lower operating costs as well as driving SG&A cost reductions. At the same time, we are encouraged by customer acquisitions which will boost 2025 results for packaging. Finally, the retail segment was in line with expectations. ProWood had unit declines in line with expectations and in line with the retail channel in general. ProWood continues to pursue cost reductions on its inputs, improve operating efficiencies, and reduce SG&A costs. ProWood will also absorb the UFP Edge product line to create cost synergies and increase utilization of its distribution capabilities direct to retail outlets. For decorators, we remain enthusiastic for the Surestone decking and railing product lines, and believe that while we will see shelf space shifts among our big box retail customers, we believe consumers will win by being able to purchase our products at both independent and big box retailers. By early in Q1 2025, we will launch a new decking product called Summit, which will feature the same basic Surestone technology with fewer features and benefits designed for a more affordable price point for DIY and small contractor applications. Our premium voyage decking products will still be stocked through our independent retail channel and available by special order. We continue our development process on other products too, using the Surestone Technology, including trim, pattern and fascia. We expect a soft product launch in mid-2025 when additional capacity is available. Decorators will also be launching an entry-level preassembled railing product in early 2025. Some other matters of interest include new product sales for the quarter of $118.7 million and year to date of $388.4 million. We are tracking close to our 2024 target of $510 million. New product development is an integral part of each business unit strategic plan, and we will continue to increase our investment in this area. Our Innovate Venture Fund just closed its seventh investment in companies which are late-stage development or early-stage commercialization. These companies have new products and innovative solutions which have potential to be utilized by one of our business units in the future. The labor market has improved substantially. Usage seasonally adjusted on unemployment index for September indicates 7.7% unemployment, which means more workers are without jobs. While a pool of applicants is larger, the cost of labor remains higher and inflation is making it more difficult for families to make ends meet. We continue to be burdened by higher benefit costs for healthcare, driven in part by mandatory coverage requirements and unnecessarily expensive pharmaceuticals. In addition, some states run the risk of pricing themselves out of the labor market through new mandated benefits and regulatory burdens. On the acquisition front, our acquisition pipeline is growing, and we are seeing a bit more realism in valuations from some targets. In cases of new geographies and product extensions, when we can acquire a company in a desired runway, which yields a better return, we prefer that to a greenfield startup. Now I'd like to ask Mike Cole to report on the financial results.
Mike Cole: Thank you, Matt. Our consolidated results this quarter include a 10% decline in sales to $1.65 billion, largely driven by a 7% reduction in selling prices, while unit sales declined by 3%. The decline in selling prices resulted from a decrease in lumber as well as a weaker demand environment, which led to more competitive pricing in most business units. These headwinds resulted in a 21% decline in our adjusted EBITDA to $165 million. Importantly, our adjusted EBITDA margin remained well above historical levels at 10%, reflecting the benefits from our strategic decision to align our business around the markets we serve, our improved portfolio mix and overall strong execution of our operating teams. Our trailing 12 month return on invested capital also remains historically high levels at nearly 20% almost 2 times our weighted average cost to capital, highlighting the strong returns our business is capable of generating in any market. And our balance sheet continues to gain strength with a cash surplus that's grown to almost $1.2 billion this year, providing us with ample flexibility to pursue our financial and strategic objectives. Moving on to our segments. Sales in our Retail segment dropped 13% to $636 million consisting of a 7% decline in selling prices, a 2% decline due to transfers of certain product sales to other segments and a 4% decline in units. The unit decline was comprised of a 3% drop in volume with big box customers, while our volume with independent retailers declined by 8%. By business unit, we experienced a 5% unit decline in ProWood, a 4% decline in Edge and a 3% decline in Deckorators. We were pleased with our overall sales of Deckorators decking, which increased 17% and continues to experience solid demand. Sales of SureStone decking increased 20% and represented nearly half of our composite decking sales. The performance of our ShearStone product is especially encouraging given our efforts to expand our capacity and increase our marketing efforts. Our gross profits declined 11%, while gross margins improved by 30 basis points. The year-over-year margin improvement resulted from favorable changes in mix and the sustained impact of operating improvements we've discussed throughout the year. These positives were partially offset by lower unit sales and negative operating leverage due to fixed cost of manufacturing as well as the impact of falling lumber prices on our variable price products primarily ProWood treated lumber. Operating profits declined by almost $5 million as the decline in our gross profits was offset by a $7 million decrease in SG&A expenses, primarily due to lower incentive compensation costs. Moving on to packaging. Sales in this segment dropped 11% to $402 million consisting of an 8% decline in selling prices and a 5% decrease in units, partially offset by a 2% increase as a result of the transfer of certain product sales from retail. Customer demand in this segment remains soft, and that's contributed to more competitive pricing as we execute our strategy to gain market share. As a result of these factors, gross profits dropped by almost $23 million year over year for the quarter. The year over year decline in gross profits was partially offset by a $3 million decrease in SG&A resulting from a drop-in incentive compensation. Consequently, operating profits in the packaging segment declined by $20 million to a total of $22 million for the quarter. Turning to construction. Sales in this segment decreased 8% to $535 million as a 7% decline in selling prices and a 2% decline in units was partially offset by a 1% increase as a result of the transfer from retail. The decline in volume was due to our site-built commercial and concrete-forming business units due to weaker demand. These declines were partially offset by an 11% unit increase in our factory-built unit due to an increase in industry production. The decline in selling prices was primarily experienced in our site-built business unit, which along with the unit declines I mentioned, resulted in a $33 million reduction in our overall gross profits for the quarter. When combined with a $6 million decrease in our SG&A due to lower incentive compensation, our operating profits declined by $27 million to a total of $42 million for the quarter. As we manage through this cycle, each segment continues to focus on executing our long-term strategies to grow our portfolio of value-added products. Our year to date ratio of value-added sales to total sales improved slightly to 69% this year from 68% last year, and our ratio of new product sales to total sales dropped slightly to 7.2% this year from 7.6% last year as we've made our criteria for qualifying more stringent, including a higher minimum margin threshold. We believe when the cycle returns to growth, we will be well positioned with an improved portfolio of value-added products supporting higher growth and profitability. We're also mindful of our cost structure in this environment as we work to find the right balance of making sure the company is appropriately sized relative to demand, while still investing in the resources needed to achieve our long-term objectives for growth, product innovation, improving our efficiency through investments in technology and building our brands. Our SG&A expenses were below plan and prior year for the quarter, primarily due to lower bonus and sales incentive expenses. Given the more conservative outlook we have for demand and pricing that extends well into 2025, we plan to be more aggressive in our efforts to selectively reduce costs and capacity. We've targeted an annual run rate of adjusted EBITDA improvements from cost and capacity reductions of $60 million. We're currently taking actions that will result in $35 million of improvements in 2025. Moving on to our cash flow statement, our year-to-date operating cash flow was nearly $500 million. Last year our operating cash flow of $711 million was elevated and included $178 million reduction in networking capital as we adjusted to reduce our inventories from the peak demand of the pandemic. Our investing activities included $165 million in capital expenditures, comprising $108 million of maintenance CapEx and $57 million of expansionary CapEx. As a reminder, our expansionary investments are primarily focused on three key areas: expanding our capacity to manufacture new and value-added products geographic expansion in core higher-margin businesses and achieving efficiencies through automation. Finally, our financing activities primarily consisted of returning capital to shareholders through almost $61 million of dividends and $159 million of share repurchases so far this year. This year, we repurchased approximately 1.4 million shares at an average price of less than $114. Turning to our capital structure and resources. We continue to have a strong balance sheet with nearly $1.2 billion in surplus cash compared to $957 million last year, and our total liquidity is $2.4 billion which includes cash and availability under long term lending agreements. With respect to capital allocation, we plan to continue to pursue a balanced approach and return driven approach as we discussed in the past. Our highest priority for capital allocation is to drive organic and inorganic growth that results in higher margins and returns. Our strategy also includes continuing to grow our dividends in line with our anticipated free cash flow growth and repurchase our stock to offset dilution from share-based compensation plans. We'll continue to opportunistically buyback more stock when we believe it's trading at a discounted value. With these points in mind, our Board approved a quarterly dividend of $0.33 a share to be paid in December, representing a 10% increase from the rate paid a year ago. Last year, our Board approved another or last quarter, excuse me, our Board approved another $200 million share repurchase authorization that expires at the end of July 2025. We have not accumulated any repurchases under this new authorization. With regard to CapEx, earlier this year, we indicated we plan to meaningfully increase our total capital expenditures to an estimated range of $250 million to $300 million in 2024 to capitalize on the automation and higher margin growth opportunities we see in each of our segments. So far this year, we've already approved $295 million of projects with another $55 million of requests in the pipeline for evaluation. The timing of our investments may vary, however, as a result of lead times for equipment as well as the time needed for site selection in the case of investments in new locations. Finally, we continue to pursue a pipeline of M&A opportunities that are a strong strategic fit, while providing higher margin, return and growth potential. Recently, we've seen more activity in the pipeline, which is encouraging, and we will remain disciplined on valuation. As a reminder, our first priority is to grow through M&A, but if the opportunities aren't present or valuations aren't appropriate, we'll pivot to greenfield growth, which we've considered in our CapEx targets. I'll finish up with comments about our outlook for the rest of the year. We believe the soft demand and competitive pricing we're currently experiencing will continue for the balance of the year, which will make for more challenging unit sales and profit comparisons. Further, we anticipate any reduction in short term rates will not have a significant impact on market demand and therefore pricing until sometime well into 2025. For the balance of the year by segment, we anticipate year-over-year demand in retail will remain mid-single digits lower, packaging year-over-year demand will remain mid to high single digits lower, in construction, year-over-year demand will be down low single digits as strength in our site-built unit offset softer demand in other units. Finally, we believe we'll continue to gain market share in each segment that will help offset the impact of lower demand and strengthen our competitive positioning when demand improves. While we manage through more challenging conditions in the short term, we remain confident in our long-term growth and margin potential and will continue to invest wisely to capitalize on these opportunities. With that, we'll open it up for questions.
Operator: Thank you. [Operator Instructions]. And our first question will come from the line of Reuben Garner with Benchmark. Your line is open.
Reuben Garner: Matt, you referenced $70 million in annualized cost reductions. I think there were three buckets to that. Can you help us break down maybe how much are coming from each of those buckets and then I think the strategic look at a few business units, is something that's new? Any more detail on which ones those might be, or is that not been amount internal yet?
Matt Missad: Yeah, I guess what I would say, Reuben, is when you look at the facility consolidations, they would encapsulate probably all those different buckets of both operating costs and SG&A expenses. So, I don't really have a breakdown among the three different groups. and Mike may be able to give you a little more detail, but I think that's the way that I'm looking at them is they're all connected and that's why I have a headline number for you as opposed to individual numbers by each group per category.
Mike Cole: Yeah. Reuben and I referenced the, the $35 million that we're taking actions on today, about half of that is SG&A reductions, and the other half is more capacity consolidation. The 60 targets will be a, a probably a similar combination.
Reuben Garner: Okay. Great. And then you mentioned maybe having to get a little more aggressive to take share with the weakness in the packaging industry. Are there any other markets where things have picked up from a competitive and pricing standpoint outside of the commodity, whether it's, site-built construction with multifamily fully rolling over or anything else that jumps out that's specifically increased in competition of late?
Matt Missad: Yeah, I think what you're seeing in site built in some other markets as demand wanes a little bit, there obviously becomes more competitive pressure. And as every customer is looking to try to maximize the value that they're able to deliver, they consistently are looking for reductions wherever they can get them. So that does create a more competitive atmosphere. And again, I referenced the high line housing starts number of 1.2 million or better. If it drops below that, obviously that pressure gets more profound than if it stays above that level.
Reuben Garner: Okay. Great. Thanks for the details. Good luck guys.
Operator: Thank you. One moment for our next question. And that will come from the line of Ketan Mamtora with BMO Capital Markets. Your line is open.
Ketan Mamtora: Good morning and thank you for taking my question. Perhaps to start with, on the M&A pipeline, are you seeing kind of increased opportunity in any one of the segments or sort of your appetite for M&A? Is it greater than one versus the other? Or is it just based on kind of what kind of opportunity is presented and kind of the value there?
Matt Missad: Yes. What we're trying to do, Ruben, is stay within our strategic runways and make sure that we find the best values in each of those runways. So, we're not waiting at any more or less based on the runway. But as Mike pointed out, we're looking for the best value, and wherever those best values are is what we're really going to target. And as we said at the end of the last quarter, we have capital allocation model for each of those runways. And as Mike explained, we'll pivot back and forth, either M&A or Greenfield with the preference being on M&A, if the valuations are right.
Ketan Mamtora: Understood. And Mike, as you think about the multiyear capital investment program that you have, is there any rethink around the cadence of sort of those investments given the market backdrop currently or is this sort of an opportunity to really kind of reduce costs and position for the upturn?
Mike Cole: I still expect the cadence to be what we've talked about that $1 billion I assume you're referring to from last quarter, I'd expect that to occur pretty evenly over the next 4 years to 5 years. Those are the investments that we're needing to make in order to make sure we hit our long-term growth and margin improvement goals.
Ketan Mamtora: Understood. And then within one just one last for me. Within the Construction segment, you are taking down kind of Q4 numbers and just back half of 2024. Can you talk about sort of where you saw sort of increased pressure through this year and kind of are you seeing any signs of stabilization in any of the end markets there?
Mike Cole: Yes, that's a complex question, Kean. I would tell you that the multifamily side of the business was softer earlier and I think that's rate sensitive and we're finding out single family is also rate sensitive. I think right now, there's just the uncertainty in the economy is probably making it more difficult to predict what's going on in the Q4. I would expect that, that will stabilize better in 2025. But long-term mortgage rates are important. The consumer confidence is important. And what we're listening to right now is our customers where they're looking at what their backlogs are as well as what their cancellation rates are and how many unsold homes they currently have.
Matt Missad: Kean, if I add maybe a little color by business unit, I want to say that on the site build side, we assumed mid-single digits down, which is about right. Factory rebuild, we thought would be strong, which is about right. The difference is commercial and concrete forming, we thought would perform a little better. And that took us from low single digits up last quarter to an expectation of low single digits down in Q4. And that it's not unusual for commercial projects to push unfortunately, and that seems to be what's occurred in, in the concrete forming business unit. It is a bit more interest rate sensitive. So, I think commercial and concrete form are the reasons for the modest change in the outlook.
Ketan Mamtora: Got it. That's very helpful color. I'll turn it over. Thank you.
Operator: Thank you. One moment for our next question. And that will come from the line of Kurt Yinger with DA Davidson. Your line is open.
Kurt Yinger: Great, thanks and good morning, everyone. Matt, at the outset you had talked or alluded to at least kind of strategic alternatives for some of the business units. Understanding you might not want to talk specifics I guess, could you talk about strategic kind of criteria that would, no longer make a business unit kind of fit into the portfolio that you want to have? And maybe as you look forward a couple years, like what do you envision being a positive outcome related to this process?
Matt Missad: That's a really good question, Kurt. What I would say as the criteria are pretty basic. We've always had the mindset of looking at an operation that's underperforming and either getting it to perform at an acceptable level or closing it. Those are relatively easy, straightforward decisions. One of the things that we've done in the past is we've made opportunistic purchases of businesses that we thought or expected to have synergies with the rest of our business model. As time progresses, sometimes that proves out to be true other times it proves out to not be true. So, we may have businesses that are operating profitably that are not aligned with the long-term strategic goals and we don't have synergy relationships with the existing business units or runways. Those would be the ones that I would expect that we would evaluate here very quickly and make determinations on which strategic alternatives to pursue. I know it's a bit nebulous, but I think that's really the criteria that we are looking at.
Kurt Yinger: Got it. And I guess just to be clear, like would selling some of those business units be within kind of the realm of those options?
Matt Missad: Yes. I think that would also be on the table.
Kurt Yinger: Okay. Got it. Thanks for that. And then, historically you've shown and talked to lumber not being a meaningful factor to earnings, even though obviously it is impactful on the sales line. Is there anything that's changed versus the model historically where, you know, if we were to expect a stronger lumber pricing environment next year, you could leverage that on the earnings line or is it generally the same message that we've heard in the past?
Matt Missad: So, I think, it's generally the same message that you've heard in the past with the exception being that there may be some efficiencies that we would gain in that environment. And without getting too deep into the various, we believe is the internal hedge we have on lumber market pricing, I do think we are able to better take advantage of certain efficiencies in a higher lumber market than where it is today.
Kurt Yinger: Okay. that makes sense. And then just last one, sticking on the lumber topic, benchmark prices right now would maybe suggest that we could be higher year over year in Q4. You're still talking about a lot of competitive pricing pressures in certain business units. Is there at least a short-term risk in your mind that, if we were to see lumber get some momentum here over the next one to two quarters, that that could, prove a more challenging dynamic on the gross margin line? Or would you expect that you could still pass that inflation through?
Mike Cole: Yes. I guess the simple answer to that one is on our variable priced products, I think that actually would help us not hurt us. Some of the fixed price products, it may work in the opposite direction. But given the current demand environment, I think it's on balance, it would be a net positive.
Kurt Yinger: Okay. Appreciate the color.
Matt Missad: Yes. Just to add on to that maybe, Curtis, on the fixed price product side, so if you get into the packaging environment, if lumber prices move up and prices are fixed, smaller competitors are going to have a hard time in an environment like that too.
Operator: One moment for our next question. And that will come from the line of Stephan Guillaume with Sidoti. Your line is open.
Stephan Guillaume: My first question is, on the topic of margins, if the market weakens further, what strategies would you guys consider to manage margins effectively? Could you like ramp up any existing margin improvement initiatives?
Mike Cole: I think we're constantly looking, Stephen, at ways to improve our margin. We talked about reducing our operating costs, doing facility consolidations to take advantage of capacity utilization and trying to reduce or eliminate certain SG&A costs. I don't know that there's any other magic items that we can reach to create further reductions other than what we're already targeting.
Stephan Guillaume: Thank you. I guess, you also can you share your perspective on the performance of new products? I think you have you said like you have some new products coming through in 2025. This slide positions you for growth in 2025 even if the macro conditions remain somewhat volatile?
Matt Missad: Yes. I think Mike pointed out some of the criteria for new products. New products to us have to meet certain criteria from a return and a margin standpoint. So, at a basic minimum, if they are new products that what I would call our core line innovations, which are replacing an existing product line with a better-quality product, we would expect some enhancement even if the demand was the same. For totally new products, new to the market type products, those have an opportunity to still be absorbed into the marketplace to gain sales and to gain market share. And our goal there would be whatever market share we pick up will come at a better margin profile. So those two things would be the keys that I would look at to say the new product initiative is working. I think what I'd also add is that the R&D effort and the new product development effort within the company has really been ramped up, and I'm excited about what they've been able to accomplish, and the cadence for new product introductions has also stepped up. So, as we discussed a few years back, we wanted to get faster at that, and I think they're making really good progress on that initiative.
Operator: Thank you. I'm showing no further questions in the queue at this time. I would like to turn the call back over to Mr. Matt Missad for any closing remarks.
Matt Missad: Well, I'd like to thank you again for spending time with us today. While the short-term outlook is challenging, long term, we remain on offense and optimistic. Hopefully, we can be like the Lions last Sunday and put big numbers up on the scoreboard. It would also help our ability to excel as the referee selected next week protects free enterprise and preserves the constitutional requirement of personal freedom coupled with personal responsibility, but that is wishful thinking. Regardless of the outcome, our team will channel some pop culture icons like Britney, Rihanna and Depeche Mode and work hard to get what we want. Thank you for your investment in us and we'll keep working to ensure great long-term returns. Have a great day.
Operator: This concludes today's program. Thank you all for participating. You may now disconnect.